Operator: Good day, and thank you for standing by. Welcome to the Hecla Mining Company Q1 2021 Earnings Conference Call. At this time all participants’ are in a listen only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today, Anvita Patil. You may begin. 
Anvita Patil: Thank you, operator. And welcome, everyone, and thank you for joining us for Hecla’s first quarter 2021 Financial and Operations Results Conference Call. This is Anvita Patil, Hecla’s Assistant Treasurer. Our financial results news release that was issued this morning, along with today’s presentation, are available on Hecla’s website. On today’s call, we have Phil Baker, Hecla’s President and CEO; Lauren Roberts, Hecla’s Senior Vice President and Chief Operating Officer; and Russell Lawlar, Hecla’s Senior Vice President and Chief Financial Officer. Any forward-looking statements made today by the management team come under the Private Securities Litigation Reform Act and involve risks as shown on slides 2 and 3, in our earnings release and in our 10-Q and 10-K filings with the SEC. These and other risks could cause results to differ from what is projected in the forward-looking statements. Reconciliations of non-GAAP measures cited in this call and related slides are also found in those documents. With that, I will pass the call to Phil Baker.
Phil Baker: Thanks, Anvita. Good morning, everyone. Thank you for joining our call. Referring to slide 4. We had a very strong first quarter, very good operational and financial performance. We recorded quarterly adjusted EBITDA that was a record for the Company. It was $12 million higher than our previous record. We had the highest cash gross margin. And we had the second highest revenues in our 130-year history. And all of this was driven primarily by the strong production results and cost performance at all of our operations. At Greens Creek, we’re lowering our cash cost and all in sustaining cash cost guidance for the year, and Lauren is going to speak more about that in a minute. The fundamentals of our balance sheet reflect these successive quarters that we’ve had of improving performance by Hecla. So, our balance sheet is in very good shape. One of the things I want to point out is that typically our first quarter is one of our smallest cash flow quarters. I went back and looked at the last 30 years, and about 20 of the 30 were the lowest. There were about 10 where the first quarter wasn’t the lowest cash flow for the year. And when it wasn’t the lowest, it was always the second lowest. So, when we consider our operating plans and when we consider the reversal that we’ll have of the working capital build up, we’re anticipating this significant free cash flow generation over the rest of the year. So, as good as the first quarter was, we think the rest of the year will be stronger. And as a result of that, the Board has announced an increase to our dividend policy. Our silver-linked dividend payment that occurs at $25 will be increased by 50% to $0.03 per share annually, and Russell’s going to speak more about that. This -- we’re returning about 28% of our free cash flow in the first quarter to shareholders. And as silver prices increase, shareholders will have the ability to participate in incremental free cash flow generation that we’ll have. We also had a very strong operating performance. And it -- despite the good performance, we were able to maintain our low all in frequency rate about 1.71 for the first quarter. In addition, our sustainability report, which we’re going to release in May, with the annual meeting, highlights our ESG performance that we’ve had. The report focuses -- in fact, the title of the report is something like Small Footprint, Big Benefit. Because we have these underground mines that are -- have an extraordinarily small footprint. And they’re largely energized by alternative power, making our greenhouse gas emissions per ounce probably the lowest or among the lowest in the industry. And we’ve also focused on policies and activities that really make Hecla a uniquely positive ESG investment. So, we’re going to focus a lot of attention on that at the annual meeting. And also, at the annual meeting, we’re going to update exploration. So, we’re going to wait for now. We’ll wait till the annual meeting. But, let me just say that we’ve had some of the best drilling results in the history of the Company. And as you’re going to see, in a few weeks, we’re in the early days of some of these programs. But, they have the potential to be extraordinarily accretive. I really look forward to the rest of the year. And with that, I’m going to pass the call to Russell.
Russell Lawlar: Thanks, Phil. Turing to slide 6. Hecla continued to strengthen its balance sheet as we ended the first quarter with $140 million in cash aided by record margins from higher prices and strong operating performance. With cash almost doubled since the second quarter 2020 from consecutive quarters of strong free cash flow, we delivered a net debt to adjusted EBITDA ratio of 1.4 times, well below our target of 2 times, while providing the liquidity position at $390 million. Looking at slide 7, our realized silver margins have continued to increase as costs stay low and silver prices increase with every dollar in margin, translating to free cash flow. If you look at the gold portion of the bar, you see that our margin this quarter was about double the second and fourth quarter of last year, and about 50% more than the third quarter. And it gets only partially reflected in our free cash flow, because of working capital changes. First quarter free cash flow was $16.5 million after negative working capital changes of $29.3 million using interest payments of $18.4 million and the timing of incentive compensation payments related to 2020 performance and higher accounts receivables from timing of concentration. But maybe more important is the trailing 12 months free cash flow $121 million. We see the future 12 months of having the same or better free cash flow the current prices. Moving to slide 8 with the growth anticipating our free cash flow over the remainder of the year, the Board has approved an increase to our silver-linked dividends of $0.01 per share. This equates to a 50% increase in the dividend rate at the $25 per ounce threshold to $0.03 per year. This increase to the silver-linked dividend reflects our confidence in Hecla’s free cash flow generation. At $25 per ounce realized price, the enhanced dividend policy has an implied yield of 7.4% to the silver price. The return from this dividend policy, which is tied to the price of silver, distinguishes Hecla from investing in an ETF or the metal, [ph] and is unique for the industry. Continued strong operational performance and higher silver pricing drive our 2021 free cash flow expectations, which should continue to grow from our first quarter performance. With that, I’ll turn the call to Lauren to go through our operations.
Lauren Roberts: Thanks, Russell. I’ll start on slide 10. First and foremost is our focus on safety. Our teams continue their exemplary safety performance, and our all injury frequency rate in the first quarter was 1.71, which is a reduction of 72% since implementing a revised safety and health management system in 2012. Our operations teams have done an outstanding job of improving this aspect of the business. While we are a little higher than our 2020 full year results, we are focused on reducing it further. On slide 11, at the Green Creek mine, we produced 2.6 million ounces of silver and 13,200 ounces of gold at an all in sustaining costs of $1.59 per ounce for the quarter. We’re lowering the cash cost and all in sustaining costs guidance, due to the higher byproduct credits, more favorable smelter terms and lower treatment charges, and the reclassification of mine license tax to income tax. While smelter terms will be better for all of 2021, in the first quarter, we realized another benefit due to a customer meeting prior purchase obligations. This benefit will not recur later in the year. With these changes, updated cash cost guidance for Greens Creek is lowered to $1.50 to $2.25 per ounce and all in sustaining cash costs are lowered to $6.50 to $7.25 per ounce. Greens Creek’s consistent delivery and low cost combined with high silver prices generates very strong free cash flow. Going to slide 12, the Lucky Friday achieved full production in the fourth quarter of 2020 and produced 0.9 million ounces of silver in the first quarter of 2021. Production at the mine is expected to exceed 3.4 million ounces this year. We anticipate the grades to improve as we mine deeper, increasing the projected production to around 5 million ounces annually by 2023. No significant planned outlay of capital is required to achieve these goals. In addition, we are testing and optimizing various mining method changes and other initiatives to improve safety while increasing productivity of the mine. We’ve made no change to our outlook at the Lucky Friday. Unlike Greens Creek, the Lucky Friday produces a relatively small amount of zinc. The dramatic improvement in zinc concentrate treatment charges as compared to last year therefore has less impact. At the Casa Berardi mine, shown on slide 13, we had a strong first quarter with production of 36,200 ounces of gold at an all in sustaining cost of $1,272 per ounce. Our investments in the mill to improve reliability and recovery are yielding great results. And the mill has maintained greater than 90% availability since October of 2020. Our business improvement activities will continue in 2021 and are expected to reduce costs further and to increase cash flow generation from the mine. Our ongoing focus to improve productivity and to reduce costs are underpinned by multiple factors, and we’re starting to see a downward trend in AISC. All these efforts together with others in the pipeline are positioning Casa Berardi to deliver consistent production at lower costs. Our 2021 guidance for Casa Berardi remains unchanged and production is expected to exceed 125,000 ounces at all in sustaining costs of $1,185 to $1,275 per ounce. Moving to slide 14, at the Nevada Operations, we produced about 2,500 ounces of gold from a stockpiled bulk sample of refractory ore that was processed at a third-party roaster. For the rest of the year, production is expected to be in the range of 17,000 to 19,000 ounces of gold, from the processing of oxide ore at the Midas mill and an additional 22,000 tons of refractory ore through third party facilities. Roughly 12,000 tons will be sent to a roaster and about 10,000 times to an autoclave. We expect the Fire Creek mine and the Midas mill will be placed on care and maintenance by the end of second quarter. We remain very excited about our Nevada properties. And in addition to the exploration spend in Nevada, we’ll be investing in other $5 million in pre-development activities this year at Hollister to access the Hatter Graben. With that, I will return the call to Phil.
Phil Baker: Thanks Lauren. Let’s go to slide 16. And this shows our consolidated production guidance for 2021 through 2023. And at this point, nothing has changed in that guidance. So, let’s focus on where the slide shows our cost outlook. And you can see there that we’ve significantly lowered our silver cost outlook, primarily because of the byproduct credits and the lower treatment charges at Greens Creek that Lauren talked about. Now, this new guidance, if you look at this, it adds about $3 an ounce to our expected margin. So, at current prices, we think we have about $10 an ounce of free cash flow generation just from the silver operations. The other thing to point out is that with the consistency that we have at Greens Creek and Lucky Friday at full production, and the increasing grade that we see at Lucky Friday that our U.S. silver production’s expected to reach about 15 million ounces by 2023. And this is double what we had in 2018. Now, before we open the line for questions, I want to talk for just a few moments about silver, maybe a little more than we’ve done on these calls before. And if you look at slide 17, I want to do this because this time is really like no other for silver. If you think about it, the photographic demand decline, which was a governor on total demand over the last 20 years is now long over. Industrial demand has been growing at a 2% growth rate for the last decade. And it’s continuing to grow, and we think will be fueled even more by the same factors that are fueling copper, this energy transformation. Industrial demand has generally been strong for the last 20 years and looks to be even stronger with the current fiscal and monetary policies. And then, finally, miners are challenged to substantially reverse a five-year annual decline in mined silver production. We actually mined 110 million ounces less than the high of 2016. So, getting back to where we were is going to be hard. Now, it’s just industrial demand continues to grow at the same rate as the last decade, so that 2% growth rate, we think -- and we think this is going to understate it, because of the energy demand we’re going to have. The world’s going to need 70 million more ounces of silver per year. Now, this doesn’t sound like much, because it’s only 7% of the current market, until you realize that to meet that demand, even if no mines are exhausted, you need seven new mines a year that are the size of Greens Creek, which is the United States largest silver mine or you need [indiscernible] to produce about 150% more or you need Codelco who has a substantial byproduct of silver production to produce 3 times as much silver. And so, our view is it’s not likely that even combining all the different companies that are in the industry that are trying to grow their silver production that we’re going to be able to produce silver that is equivalent to seven Greens Creek mines. But, if we do, they’re going to be in riskier jurisdictions. And we believe that over the next decade, we are in a market that’s well positioned for a silver squeeze to happen. Now, this is not the sort of silver squeeze the investors [ph] were thinking about, but it’s a squeeze nonetheless, because it’s just that demand has already risen faster than supply, and it’s positioned to continue to do so.  The result of this squeeze and -- prices will rise and the shortfall is going to be met by above ground stocks. And I’m struck, if you look at what happened in 2020, when ETF and coin demand rose dramatically, prices rose 50% over the roughly average silver price of 2018 and 2019. So, what do we think the high-end and low silver price will be over the coming decade? Let’s first give you the lows. We think we we’ll have higher lows. We don’t think we’ll have lows for any significant period of time to be below $18 to $20 an ounce. And for the highs, there’s no reason, silver highs will not do what gold and copper have done. And what’s that? They both either exceeded or have just come in just below their all time highs. So, to see a $50 plus silver price is not unreasonable. So, one final thought on how you should think about silver. What it has become is the precious copper or the industrial gold. And the reason I say that is there’s really no metal quite like silver. It’s needed an application similar to copper, but unlike copper, it’s an investable metal with lots of investment options. You have the above ground stocks, you have ETFs, you have coins. And silver is like gold, but unlike gold, only about 20% of the demand for silver is investment. And for gold, only about 10% is industrial demand. So, think of silver as precious copper or industrial gold. And of course, Hecla is in a unique position as the largest silver producer in the U.S. We produce a third of all the silver produced in the United States, and that production is growing. We’re the oldest silver mining company. And we have a history of outperforming silver and every other mining company when the silver prices went up, which obviously we think that’s what’s going to happen over the course of the coming decade. So, with that operator, I’d like to open the line for questions.
Operator: [Operator Instructions] We have a question from the line of Heiko Ihle with H.C. Wainwright. 
Heiko Ihle: Phil, congratulations on the silver-linked dividend increase and the terrific day in the market for your shareholders, and I assume yourself as well. Two quick ones from me. The slightly lower silver grades at Greens Creek due to normal variations in the orebody, as you put it. it seems like the year as a whole will still be pretty unchanged. But, do you anticipate the same trend in Q2 by the second half to be better, or is there already improvement in the current quarter? I mean, we’re essentially halfway through it.
Phil Baker: Well, look, the guidance we gave on production is unchanged. And so, we’ll have variations quarter-to-quarter. That’s one of the things I have discovered after 20 years of being associated with Greens Creek is quarterly fluctuations can be quite high. But, almost every year, it has met either its tonnage or its grade guidance or goals, and obviously this year isn’t being any different. Lauren, let me ask you to give a little more color.
Lauren Roberts: So, we mined from a multiple zone array at Greens Creek. And consequently, the grade delivered to the mill can vary by where we happen to move mining at any point in time. And of course, we build a plan for the year. And we typically achieve the plan for the year. But, internal to the year, we may make adjustments in the mining sequence. And that’s why you see the variability that Phil spoke of. And there’s also some natural variability in the orebody that that is a very consistent, very reliable orebody. And I would say, on average, delivers us a bit more metal than we expect. So, I see no reason for things to look different for the full year, Heiko.
Heiko Ihle: You mentioned the treatment charges. Can you just sort of walk us through what you’re seeing sort of impact wise in Q2, so far, please?
Phil Baker: Well, Q1 had an unusual situation and that we had a customer that fulfilled obligations that really went back to 2019. And the treatment charges were significantly lower in 2019 and 2020. We had that big jump up. And then, 2021, we had a reduction. So, we had about a $4 million benefit in Q1 that’s not going to be repeated. So, that’s why you don’t see costs even lower. Russell, do you want to add to that
Russell Lawlar: Yes. Just to add to that a little bit to what Phil had said is that we had a non-recurring benefit of about $4 million in Q1 at Greens Creek. And then, for the rest of the year, the treatment charges at this point had been set. So, we should see kind of some relative stability in those treatment charges, based on our shipments.
Phil Baker: And do you recall what the differences in the zinc treatment charges from 2020 to 2021?
Russell Lawlar: Close to $150 a ton. Not quite, but pretty close. So, it almost got cut in half.
Phil Baker: Yes. And remember that the zinc and the lead treatment charges for 2021 were not set until April?
Russell Lawlar: Yes. Last month or so.
Heiko Ihle: And then, just one quick clarification, your provision for closed operations and environmental matters, you were at $3.2 million, so this is due to an increase at historic. Is that a one-time thing or is there any recurring cash?
Phil Baker: We would expect that this reflects the obligation that we will have at that property? It’s an old Ranchers Exploration property, uranium property. And we think this will fully cover the obligation. But, you never know. But, do not anticipate it recurring.
Operator: Our next question comes from the line of Trevor Turnbull with Scotiabank.
Trevor Turnbull: Yes. Thank you. Phil, I actually had another question about almost the same thing, silver at Greens Creek, but looking a little further out. We’ve noticed for silver the reserve grades haven’t changed that much over the last few years, as you update them. But certainly, the head grades that you’ve been mining, over the last several quarters or several -- couple of years have moved progressively higher and are quite a bit higher than reserve grades. And I just wondered if you could comment on how you expect that to play out in terms of a revision to the mean or reversion to the mean, I should say. When we might expect silver grades to come down closer to reserve grade in your sequencing plans?
Phil Baker: Sure. So, you’ll recall, about three years ago, we announced that we had designed a new mine plan that was going to allow us to mine increased grades. And so, sure enough, that’s what’s happened. We’ve been able to achieve that. And clearly, as time goes on, we expect the grades to decline. Like any good miner, we’re going to mine the highest grades first. But, having said that, what we’re going to be focused in order to stay at the sort of 10 million ounce level of production, is trying to figure out how to increase the throughput. We started -- when we were the operator at 18, 50 tons per day. And I do it in tons per day, and Lauren does an annual. But, we’re at 2,300 tons per day now and have been for the better part of five years, I would say. So, the focus is going to be okay, how do we increase the throughput through the mind, and it’s going to be challenge. Because we have a fair amount of material that comes from long hole stopes and it will at some point -- the plan is to get all cut and fill. So, it’s going to be a challenge. But, this Greens Creek operation, the culture of that place has consistently figured out how to make that mine better. And so, I’m confident that we’ll be able to maintain the sort of production levels you see, even with a declining grade. Lauren, what would you like to add?
Lauren Roberts: I would just add that we have plenty of time to work on this issue. The decline or the reversion to something more like the reserve mean is a number of years out. And of course, we continue to grow there. So, we may have some exploration success that is helpful. But, we’ll plan as if the grade reverts at some point. And in order to compensate for that, we’ll be looking to increase throughput. And we’ll also put some effort into looking at recovery and some of the satellite zones, which can be a bit lower. So, we’ll work on both of those things. We’ve got a number of years to work on it. The good news is, we’ve just completed some detailed review of the mill grinding circuit in the mill, which is typically the limiting factor, and we’re in really good shape on the grinding circuit.
Phil Baker: So, you mentioned recovery, and it is interesting also to look at the recovery improvements that have happened over the course of the last decade. I want to say, it’s 10 recovery points…
Lauren Roberts: Yes, it’s insignificant.
Phil Baker: And -- but we’re still only at 78% recovery, 80% recovery is that…
Lauren Roberts: In that range.
Phil Baker: Yes. So, we’ve got some -- that’s quite low, Trevor, to have an opportunity to improve things. 
Trevor Turnbull: No, I appreciate that. And it’s good to know you’ve got some runway at these grades and certainly time to keep the continuous improvement going to Greens, which we have been noticing. So, I appreciate that. Thanks, guys.
Phil Baker: Thanks, Trevor.
Operator: The next question comes from the line of Lucas Pipes with B. Riley.
Lucas Pipes: Hey. Good morning, everyone, and I’d like to add my congratulations on a very strong start to the year. My first question is on Lucky Friday, and maybe just to take a step back, obviously, there are a lot of things going on at the moment. [Technical Difficulty] over the coming years and you mentioned the changes in mining methods. And I wondered if you could elaborate on that and share with the investment community, what changes have taken place on the ground and how that transition is progressing? Thank you.
Phil Baker: Sure, Lucas. So, the big limiting factor at the Lucky Friday is seismicity. We have about 20% of our of our availability of our stopes that are not available about 20% of the time, because of seismicity. And so, we’re looking at how do we solve that, and we’ve got two approaches that we’re considering. One is a drill and blast approach, the other is the remote vein miner. And so, we’re testing the drill and blast approach, which is basically the idea is one where we all just call it sort of a big blast is kind of what we’re doing when we’re inducing the seismicity when we want it induced over a larger area of the mine, rather than sort of cut by -- or heading by heading, cut by cut drilling each day. So, we’re doing something that’s larger than that. It’s still early days on whether that’s going to be successful. There’s lots of challenges, but -- I mean, you can see what the results that we’re on track with what we have had said we would do. And so, I don’t see that changing, but I do see that potential for a lot of upside, if you can eliminate that seismicity, unavailability of the stopes. So, we’ll do that. And during the course of 2021, we would anticipate in 2022, we could start testing the RVM. But one way or the other, we’re going to improve the throughput through the mine. We think there’s the potential. You have infrastructure that you could produce roughly 50% more tons than what we have traditionally done. So, we think, if we can figure out how to control the seismicity better. Lauren, what would you like to add to that?
Lauren Roberts: I think, it’s all about the seismicity and getting the heading availability up. And this work began as a means to improve the safety performance in the mine and the management of seismicity. And in the course of pursuing that work, a typical blast at the Lucky Friday, under the previous mining method, it’s a round by round thing, which maybe is a few hundred pounds of explosives at a time. And we’ve been doing some big de-stress rounds to relieve the seismicity sort of tens of thousands of pounds of explosive at a time. And what we observed is that it generated some positive effect in terms of delivery of broken to the mill. So, we’re capitalizing on that as a potential means to improve productivity and production both. And that’s the path that we’re moving down now. I still said, there’s much to be done in terms of experimentation and refinement of the method, but the early results are quite promising.
Phil Baker: And Lucas, the other thing I’ll add is that seismicity is not a new issue for the Lucky Friday. You go back to 87, 88, there was a change in the mining method to deal with seismicity then. So, this is an ongoing issue that this mine has had. And I suspect 30 years from now, 40 years from now somebody else say, we can improve the mining method in some fashion. So, it’s -- and deal with seismicity, so.
Lauren Roberts: Very much in evolution.
Phil Baker: Yes.
Lucas Pipes: Very helpful overview. And, of course, best of luck, as you continue to improve the efficiency, safety and output of these very attractive operation over the long-term. So, I appreciate that. My second question is on Montana. There were some comments in the release. And I just want to -- can you go back there and maybe elaborate on what you anticipate in terms of potential development at the properties you have? And how much of a priority, this is in the current environment? Thank you.
Phil Baker: Well, Lucas, it’s a big priority for Hecla, because it’s our largest single resource. At any of our properties, it’s the third largest undeveloped copper asset as well as being this large silver asset, 330 million ounces of silver resource. And so, we’re trying as to go as rapidly as possible to get underground, so that we can do the drilling to prove that we will not have a negative environmental impact, and to develop a mine plan to best mine this -- these ore bodies. There was a court decision that has caused us to say, okay, we probably need to evaluate whether everything is in the right place, for being able to accelerate getting underground. And we haven’t come to a conclusion with that. But, you’ll certainly hear more over the course of the next coming probably two or three months as to what course of action we’ll take. But, I can assure you, there is no priority that’s higher for Hecla outside of our existing operations than the Montana assets. 
Lucas Pipes: And with the court case, was that a challenge to the record of decision?
Phil Baker: Yes. So, there’s two properties, Lucas. There’s the Rock Creek and is the Montanore. It’s actually the same orebody. It’s just been faulted off. And we bought two separate companies. So, it’s been on two separate tracks. And so, it was a court opinion on the Rock Creek property that would suggest that the biological opinion necessary for the permit needs to consider the mine as if it’s in production, rather than just the exploration of the Rock Creek mine. So, that’s what we’re evaluating is what does that mean for the work that’s being done on the biological opinion for Montanore. And of course, it’s not just our decision. It’s the decision of the Department of Interior and the fan of Forest Service.
Lucas Pipes: Very helpful. And in terms of the potential timing impacts. You mentioned this is a very high priority to get on the ground. Like, what case, how much extra time would a resolution of this court…
Phil Baker: Lucas, I don’t have timing of it to be able to give that to you. As soon as I do, we will. We will let everyone know.
Operator: The next question comes from the line of Ryan Thompson with BMO.
Ryan Thompson: Just a couple of questions for me. Maybe just the first one, at Nevada, you’re guiding to 17,000 to 19,000 ounces for the rest of the year. Can you just sort of walk us through how we should be modeling that, sort of quarter by quarter and just timing of when those refractory ores going to be processed?
Phil Baker: The short answer is, majority of it comes in Q2, because we’re running the material through the Midas mill. The remainder is really in the hands of the third-party processor as to when they’re going to blend it in with their normal material. And so, I think, you can anticipate that’s over the second half of the year, majority of that, that ore that’s going to the third-party processors. So, I don’t know. In terms of ounces, Lauren, do you have any recollection of…
Lauren Roberts: I would expect the majority of the ounces in Q2, probably two-thirds or three quarters of the ounces in Q2.
Ryan Thompson: And maybe just sort of more of a high level question. You made some very interesting comments on the silver market and your view on the silver price. Can you maybe just tie that into a discussion on growth? In silver, we’ve seen a couple of your peers recently make acquisitions of gold mines, your last couple of acquisitions with the Klondex and Casa were both gold mines. Can you maybe just tie that into a discussion of M&A and sort of what you’re seeing in the market and how you’re thinking about the Company’s sort of silver to gold sort of revenue mix?
Phil Baker: Well, M&A is always something that you’re considering. For us, though, it’s not the highest priority, because we do have this growth that’s built into the Lucky Friday. In addition to the higher grade, we think the mining method where we’re better managing seismicity will allow that to grow, beyond that. We also have things like the Montana assets that would be a -- look, it could produce as much as the two properties together. You could produce as much from Rock Creek and Montanore as you could -- as you can from the rest of Hecla combined. So, those are the things -- and we have other assets in the mix that we have acquired over the course of the last number of years. And so, my view is that whether it’s silver or gold, you’re going to see somewhere between three and five properties come into production over the course of the coming decade. And certainly to the extent they could be silver, because we do have such a strong view on the strength of that market for this decade, we’ll do that. But gold, we think gold we’ll do well as also. So, we’re not going to not put attention to gold. And you’ll hear more in a couple of weeks about the exploration that we’re doing in Nevada, very exciting. And it’s gold with a fair amount of silver, but it is primarily gold. And so, we like we like both metals, but we do think silver is relatively better than gold.
Operator: [Operator Instructions] The next question comes from the line of Matt Farwell.
Matt Farwell: Hi. This is Matt Farwell with Roth Capital. Thanks for taking my question. Just a quick question on inflation, sort of a macro. The discussion out there is that, it’s focused on inflation as well as lower interest rates. But, it seems to me that your costs are in check. And I was wondering if you could kind of just comment on what buckets of costs might be a factor going forward, if this commodity rally continues for you? And also, maybe perhaps comments on how the lower interest rate environment -- despite the concerns about inflation, the lower interest rate environment is really helping to improve the credit, your cost of credit, your cost of capital, and has ultimately resulted in an improvement in your rating by the credit rating agencies?
Phil Baker: Well, with respect to inflation, if you think about our cost structure, roughly 50% -- between 45% and 50% of our cost is labor. And so, and energy is about 10%. Everything else pretty small, because of the nature of our mines. So, where are we exposed, it would be really on wage inflation? I think, we are watching that very carefully. We’re going to be competitive, we’ve got lots of opportunities where we have the advantage of being in great places that people want to live. So, attracting people is not an issue. But I will say, one of the things that -- I was at the Lucky Friday, one of the things that was interesting was the cost of housing going up and the availability of housing. So, there are issues that go beyond just the specific costs of wages that we have to think about. Anything you guys -- Russell, Lauren, do you guys want to add on inflation?
Russell Lawlar: In terms of the cost structure that you mentioned, Phil, a large portion is labor, but we’re not exposed to significant degree to, say fuel, for example, because of the operations that we have. A lot of our power comes from, say, hydro power or renewable sources. So, we don’t always see the inflation there, where others might be generating power. So, from that aspect, we’re not seeing that inflationary pressure.
Lauren Roberts: I think structurally, because we operate high grade underground mines predominantly, we’re not as exposed to shifts in commodity prices as some other companies. As Russell said, fuel’s relevant but it’s not a huge factor, whereas large open pit operations, it might be moving hundreds of thousands of tons a day, it is a much larger factor. Our reagent consumption is modest. Our steel consumption is modest. So, we pay attention to those things. And where we can be strategic and protect ourselves, we do, but they’re not huge exposures. 
Phil Baker: And then, with respect to, I guess our debt, and the way I’m going to answer this question is, we’re looking forward to the call, when we have the opportunity to start to call some of those bonds -- it’s a deal that we needed to do, and we did it. But, we think that it can be ultimately replaced with something that’s quite a bit less expensive. But, we have call three, we’re I guess two years into it, -- or one year into it, so we get two years to go. So, I would anticipate you’ll see at some point a refinancing, when we can call the bonds. We think the rating agencies, with all due respect to them, are a little bit behind the curve with respect to where our rating should be. Maybe that’s no surprise to you or them that I would say that. But, we would anticipate over time, they should be improving our ratings. And I know, Russell and me definitely think that.
Operator: The next question comes from the line of Guy Berkeley [ph].
Unidentified Analyst: First of all, you’ve done an excellent job. You’ve done an excellent job. But boy, how did you run on and pick up that Nevada property? That’s a gold mine?
Phil Baker: Well, that’s yet to be done. But, we’re working on it. And we’re very excited about the opportunities that all four properties that we acquired and the Klondex acquisition. Realize that we acquired them, because we saw the potential for very high grade mineralization. You take Midas, its history was 25, 30 years of producing at an average grade of close to 0.8 of an ounce. So, we think there’s more of that to be found. And we’re excited by the exploration that we’re seeing.
Unidentified Analyst: Well, it’s -- you’ve done an excellent job. And boy, I agree with Phil, Mr. Baker that this -- of the two horses, silver is the faster the horse. It’s the fastest horse. And I think he’s absolutely right, with the solar panels requiring silver, electric cars requiring silver, the phone we’re even speaking on has silver in it. And I think he’s spot on. But, that Montana discovery, I drilled a well up there, oil and gas well, Wildcat in Montana, you’re going to Montana very well. And that deal -- silver and copper you found in Montana, that is a doozy. If you guys get where you don’t want that, maybe you could put up for sale. There’ll be at least 50 entities that would try to buy that from you.
Lauren Roberts: All right. Well, I can assure you that Mr. Baker agrees with everything you’ve said. So, thanks very much for...
Unidentified Analyst: He’s done his homework and I’ve done my homework. And I’ll tell you, it’s great. Thank you very much. The only problem is, I don’t understand why your stock is as low as it is. Because, if it isn’t twice the price it is into this year, I’ll eat this...
Phil Baker: All right. Well, thanks very much. Guy, we should either go on to the next call or…
Unidentified Analyst: Okay. Thank you.
Phil Baker: Thanks very much.
Operator: [Operator Instructions]
Phil Baker: Okay. Well, operator, are there no other people in the queue?
Operator: There are no further questions.
Phil Baker: Okay. Thank you very much. So, I really appreciate your participation on the call. Should you have a question that you weren’t able to ask, please reach out to us. There’s information on the press release. And Russell can talk to you or I can talk to you. So, please feel free to reach out. And please stand by for our annual meeting, and I think it’s on the 19th of May. And at that time, we’ll be giving a presentation on our ESG and our environmental, our exploration. So, thanks very much. I hope to see you on 19th. Thanks. Bye.
Operator: Ladies and gentlemen, this does conclude today’s conference call. You may now disconnect.